Operator: Good day, and welcome to the Flowserve Second Quarter 2025 Earnings Call. Today's conference is being recorded. At this time, I'd like to turn the conference over to Brian Ezzell, Vice President, Investor Relations, Treasurer and Corporate Finance. Please go ahead.
Brian Ezzell: Thank you, and good morning, everyone. Welcome to Flowserve's Second Quarter 2025 Business Update. I'm joined by Scott Rowe, Flowserve's President and Chief Executive Officer; and Flowserve's Chief Financial Officer, Amy Schwetz. Turning to Slide 2. Our discussion will contain forward-looking statements that are based upon information available as of today. Actual results may differ due to risks and uncertainties. Refer to additional information, including our note on non-GAAP measures in our press release, earnings presentation and SEC filings, which are available on our website. I will now turn it over to Scott.
Robert Scott Rowe: Great. Thank you, Brian, and good morning, everyone. Before we talk about our outstanding second quarter results, I want to provide an update on the Chart merger. As we announced yesterday, we reached an agreement to terminate the proposed merger with Chart Industries. When we were first approached by Chart about the potential merger, we took a very disciplined approach to the discussion with a focus on ensuring the strong value creation opportunities offered by Flowserve would continue in the merger. This disciplined approach guided us through our decision-making process following the subsequent all-cash offer for Chart from Baker Hughes. Based on our assessment, further pursuing the merger would have been value diminishing to Flowserve shareholders given the additional cash, leverage and diluted ownership required to continue the process. While we are disappointed in this outcome, we are confident that this decision was in the best interest of our shareholders and our company. As a result, Flowserve received a $266 million termination payment in accordance with our signed agreement. Near term, we'll evaluate opportunities to deploy this capital to create value for our shareholders, including through share repurchases. Over time, we remain committed to a disciplined approach to capital allocation, including M&A. While the outcome wasn't what we wanted, we have no regrets in our decision to pursue this opportunity or with our decision to terminate the agreement. The Flowserve team and our Board of Directors were thoughtful, disciplined and focused on our stakeholders throughout this engagement. And I believe we are in a better place today than ever before to capitalize on the opportunities in front of us. Let's now turn to Slide 3. We delivered exceptional second quarter earnings in a dynamic macro environment, demonstrating the focus and strong execution of our associates. We are encouraged by our momentum through the first half of the year and we remain confident in our ability to execute at a high level even as the environment remains fluid. As a result, we increased our full year adjusted EPS guidance to $3.25 to $3.40, which at the midpoint represents an increase of more than 25% year-over-year. Looking at our second quarter results in detail, we delivered bookings of approximately $1.1 billion and revenue growth of 3% with adjusted gross margins expanding 260 basis points to 34.9%. Adjusted operating margins were 14.6%, resulting in impressive incremental margins of 94% during the quarter. While adjusted earnings per share was $0.91, the Flowserve Business System is taking hold across the organization, driving excellence through functional discipline and accountability within our operating divisions and business units. We continue to be laser-focused on expanding margins and driving profitable growth. All products are now fully utilizing the 80/20 framework, and we believe there are further opportunities to increase margins as we are still in the early phases of this program. For the full year, we now expect to expand adjusted operating margins 200 basis points year-over-year. Turning to Slide 4. We delivered solid bookings performance with our fifth consecutive quarter of aftermarket bookings above $600 million. Our focus on growing the Aftermarket business continues to pay dividends, and our high service levels are translating into improved aftermarket capture. Our largest award in the quarter was an $11 million nuclear aftermarket order for the ongoing upgrade of a nuclear power plant in North America. Additionally, in pumps, we secured our first production order related to a small modular nuclear reactor or SMR, which is a testament to Flowserve being a leader in the advanced nuclear technology space. Total nuclear bookings were nearly $60 million during the second quarter. We also booked several other smaller projects in the $5 million to $10 million range across different end markets. Second quarter bookings were largely driven by our core business of aftermarket MRO and short-cycle activities. This base business remained healthy in the quarter as customers continue to focus on uptime and facility utilization. Overall, our markets remain healthy and our project funnel continues to grow, though we did see approvals for a few projects pushed from second quarter to the third quarter as customers assess the macro environment and tariff situation. By end market, we generated strong year-over-year growth in general industries of 9%. Energy and chemical bookings decreased as expected given 2 large Middle East awards totaling $150 million that did not repeat this year. We continue to see good opportunities in the Middle East with medium-sized projects across a variety of end markets. We were happy to sign an MOU with Honeywell to integrate our RedRaven digital offering into their asset performance management system called Forge. This exciting step forward validates the incredible technology we have developed and is an opportunity to significantly scale our RedRaven offering. Leveraging this partnership, we have the ability to serve large industrial facilities, enhancing efficiency and operating predictability for our customers while creating a recurring stream of revenue for Flowserve. We look forward to sharing more details as we make progress with our customers. Turning to Slide 5. While the macroeconomic environment continues to be dynamic, our end markets remain healthy. Asset utilization for large process industries remained steady and maintenance spending has continued as expected. Our project funnel remains healthy and increased sequentially in all of our end markets. In particular, the nuclear project funnel continues to grow and is at the highest level we have seen. While some new project approvals in the chemical and energy markets have been pushed out a quarter or 2, there have been no unusual backlog cancellations or significant change in activity to date. Our first half book-to-bill was a strong 0.99x. For the full year, we expect our book-to-bill ratio to be approximately 1.0x, assuming project approvals continue as expected. Our strong backlog of $2.9 billion continues to position us well for future growth in the second half of the year as well as into 2026. Our elevated backlog provides a comforting level of certainty in the current market environment. Turning to Slide 6. Trade policy continues to evolve, and we remain focused on building resiliency into our supply chain as well as responding as quickly as possible to the latest tariff changes. As we look at the tariff rates in place today, we estimate the annualized gross impact from these tariffs before any mitigating actions to be between $50 million to $60 million. This compares to the range we shared in April of $90 million to $100 million. We continue to actively shift sourcing around the globe, leveraging our regional structure to reduce the overall tariff impact for our customers. The pricing actions we took in response to tariffs are now fully in place with no noticeable impact to demand. We estimate the impact for tariffs to the second quarter, net of our mitigating actions were neutral to earnings, and our goal remains to be tariff impact neutral for the full year. I would like to conclude with the progress we are making with the Flowserve Business System. Operational excellence is now fully embedded with how we run our global manufacturing and is helping us deliver for our customers and our shareholders. Additionally, we are now executing 80/20 across all of our business units, and we believe there's significantly more opportunity as we decrease complexity in our product portfolio offering. Finally, we launched Commercial Excellence in the second quarter with the expectation that this program drives long-term profitable growth. We are excited about the tenets of the Commercial Excellence program, and we are confident in our ability to gain traction quickly. Let me now turn the call over to Amy to speak about our financials in greater detail. Amy?
Amy B. Schwetz: Thank you, Scott, and good morning, everyone. Turning to Slide 7. The strong second quarter is another data point in demonstrating both the execution focus and the potential to be realized of the Flowserve business. We delivered second quarter revenue of $1.2 billion, adjusted operating margin of 14.6% and $0.91 of adjusted earnings per share, representing 25% earnings growth versus the prior year period. I want to thank our associates for their efforts, which were critical to delivering exceptional results during the quarter. Overall, revenues grew 3% versus the prior year period with the Mogas acquisition and foreign currency benefiting revenues by 260 and 110 basis points, respectively, while organic sales decreased about 100 basis points. Our 80/20 program is driving significant benefits to gross profits. However, the actions we have taken to reduce SKU counts were a modest headwind to organic growth in the quarter. Aftermarket revenues grew 7%, driven by continued aftermarket capture, while original equipment sales decreased 2%, driven by lower engineered-to-order work in the quarter. Shifting to margins. We generated an adjusted gross margin of 34.9%, representing a 260 basis point year-over-year increase and our seventh consecutive quarter of sequential margin improvement. In the quarter, adjusted gross margins benefited from strong execution of the Flowserve Business System with benefits from our 80/20 complexity reduction program proving to be a tailwind in the quarter. The quarter also benefited from favorable product mix within original equipment sales and higher aftermarket sales in the FPD segment. We believe the continued execution of the Flowserve Business System positions us well to further expand margins. Higher adjusted gross margins, coupled with consistent SG&A as a percentage of sales led to adjusted operating margin expanding 210 basis points versus the prior year period to 14.6% and represented exceptional incremental margins of 94%. Adjusted operating income was $174 million, a 20% increase versus last year. Our adjusted tax rate for the quarter was 17.1%, driven by discrete tax benefits from foreign operations. The change in tax rate versus the prior year period favorably impacted adjusted EPS by approximately $0.05. Altogether, we delivered robust earnings per share of $0.91 for the second quarter. Turning to our segments and starting with FPD on Slide 8. FPD delivered solid bookings with growth in general industries, but lower bookings than last year, driven by the nonrecurrence of certain large projects and some project pushouts to the back half of the year. FPD grew sales 1% versus the prior year, driven by continued strength in aftermarket activity. We are particularly pleased with adjusted gross margin performance of 36.8%, an increase of 390 basis points compared to last year, driven by our 80/20 program, increased productivity and favorable mix. These results translated into FPD delivering an outstanding adjusted operating margin of 20.3%, a 340 basis point increase versus the prior year period. We have made tremendous progress in FPD in the first half adjusted operating margins of 19%. FPD is now operating at margins similar to best-in-class industrials, and yet we still see opportunities to increase FPD margins from here. While margins may vary modestly quarter-to-quarter, largely driven by mix, we see an opportunity for FPD operating margins to be at 20% or more over time, which would be well above the long-term targets we had previously established to deliver by 2027. Turning to FCD on Slide 10. In the quarter, FCD delivered bookings growth of 2% and sales growth of 7%, driven by Mogas. FCD adjusted gross and adjusted operating margins were 30.8% and 12.2%, respectively. Mogas unfavorably impacted FCD adjusted operating margins by roughly 260 basis points, largely due to the fabricated modules business and to a lesser extent, inventory write- offs, which together resulted in an operating loss for Mogas. We have not bid on or accepted any fabricated modules orders since acquiring the Mogas business. And after we ship the last remaining order, we do not expect to continue this type of activity, which is consistent with our plans at acquisition. While the results are lower than we expected, we recognize the acquisition is still in early days and the synergy realization is on track. We remain excited about the long-term outlook for Mogas, which expands our offerings in the attractive mining and minerals end markets and enhances our diversification efforts. To be clear, FCD margins are not meeting our margin expectations. However, we are executing on the same elements of the Flowserve Business System that have yielded exceptional results for FPD, and we believe we'll do the same here. It's important to note that absent Mogas, FCD adjusted gross margins increased 180 basis points versus prior year. Turning now to cash flow on Slide 10. We delivered strong cash from operations of $154 million during the quarter, driven primarily from robust earnings generation. As expected, days sales outstanding improved sequentially due to increased receipts from milestone billings and accrued liabilities was a modest source of cash following last quarter's performance-based incentive compensation payout. Overall, adjusted primary working capital as a percent of sales was 30.1%. Working capital efficiency remains an opportunity and a priority. We expect continued improvement from -- in our cash from operations in the second half of the year. For the quarter, capital expenditures were $17 million and resulted in strong free cash flow of $138 million and a free cash conversion ratio of 115%. For the full year, we continue to expect a free cash flow to adjusted net earnings ratio of 90% or more. Other uses of cash during the second quarter included nearly $60 million for dividends and share repurchases combined. Importantly, we closed the quarter with a net debt to adjusted EBITDA ratio of 1.25x, our lowest level in the last decade, providing significant flexibility for capital allocation choices. It's important to note that with our current leverage level, the $266 million break fee represents an opportunity to allocate capital. As we have demonstrated, we will be thorough and disciplined in approach, including consideration of shareholder returns. We currently have over $200 million remaining under our share repurchase authorization. Turning to our 2025 outlook on Slide 11. While the environment continues to evolve, we delivered robust first half results and remain focused and committed on growth, margin expansion and cash flow generation in the second half of the year. As a result, we are increasing our earnings guidance, including an adjusted operating margin expansion of 200 basis points and adjusted earnings per share of $3.25 to $3.40. The macro environment has resulted in some bookings and revenue deferrals, and we now expect organic sales growth to range from 3% to 4%, a modest decrease from our prior guidance of 3% to 5%. So back half organic growth is expected to be higher than the first half organic growth. With the weakening of the U.S. dollar, we also expect the impact from currency rates to be neutral to slightly positive to growth and earnings for the full year. We also expect this year's tax rate to be 20%, a modest improvement versus our prior guidance of 21%, driven by discrete benefits from foreign operations. Lastly, we expect the Mogas operations to now contribute approximately $0.08 to full year adjusted EPS. Turning to the progression of earnings. We expect to deliver higher earnings in the second half of the year compared to the first half, driven by increased revenues, but tempered somewhat by a higher tax rate and a more normalized mix composition versus that in the second quarter, which we expect to modestly impact back half gross margins. Specifically, we would expect Q3 revenue to be similar to Q2 and to include the aforementioned shift in mix. Revenue in Q4 will experience the traditional ramp with incremental volume benefiting operating income with margins increasing sequentially from Q3 levels. On a year-over-year basis, we continue to expect gross and operating margin expansion in both the third and fourth quarters. Additionally, our annual true-up of certain incurred but not reported liabilities is expected to occur in the third quarter, though this true-up will be excluded from our adjusted results in 2025 and going forward. We continue to expect the fourth quarter to be our highest earnings quarter driven by the acceleration of growth, acquisition synergies and our 80/20 program results. In summary, I am proud of our first half results and believe we are well positioned to drive year-over-year earnings growth in the second half of the year. Let me now turn the call back to Scott.
Robert Scott Rowe: Thanks, Amy. We'll now turn to Slide 12. Looking ahead, I remain excited about our ability to drive significant value for our shareholders. We are executing from a clear position of strength with significant momentum. Global demand for our mission-critical flow control products and solutions remains robust, and our 3D strategy has us positioned to deliver sustained growth. The Flowserve Business System is accelerating performance across the organization, and we see further opportunities to drive growth, productivity and margin expansion to unlock further value. Our strong free cash flow generation positions us to invest in innovation and strategic initiatives to support our customers' evolving needs across the industrial spectrum. In closing, on Slide 13, our end markets remain healthy, and our execution is the best I have seen so far with more opportunities for improvement. We continue to deliver towards our 2027 margins and EPS targets and are well positioned to deliver strong performance for the full year in 2025. The midpoint of our updated adjusted EPS guidance represents an impressive 27% increase versus last year. And combined with the significant EPS growth we delivered in 2024, we are positioned to grow adjusted EPS nearly 60% since 2023. I'm proud of our associates and their hard work to deliver significant value for our shareholders, and we look forward to continuing to do so in the future. With that, I'll turn the call over to the operator to open up questions and answers.
Operator: [Operator Instructions] We'll take our first question from Andy Kaplowitz with Citigroup.
Andrew Alec Kaplowitz: Scott, can you give more color into the bookings environment and your expectation for book-to-bill around 1 for the year, which I think would imply bookings slightly over 1 for the second half. So maybe talk about the visibility towards those bookings? Are you seeing any evidence that some of the delayed projects you saw in Q2 are starting to move forward again in Q3? And I think you mentioned the funnel is up sequentially. Any way to quantify what the funnel actually looks like?
Robert Scott Rowe: Sure. Yes. Obviously, the market is a little bit uncertain right now. Certainly, in the second quarter, the macro picture plus the tariffs really impacted some of the project spending and some of those projects just shifting. And it makes sense, right? I mean operators want to have clear financial returns in their assessments before they pull the trigger. And so I'd say not overly surprising for us. On the positive side, our run rate and aftermarket business was incredibly strong, and we didn't see any slowdown at all in that run rate or aftermarket business throughout Q2, and we certainly don't expect that on the go-forward basis. As you said, Q2 -- well, first half of the year book-to-bill is 0.99. And so we're -- we believe at this point with everything we know that the full year will be 1.0, which implies slightly better than 1.0 in the second half of the year. And right now, the project funnel is up sequentially. And so the opportunities are there. Just as a reminder, that funnel number is a 1-year funnel. And so that would take us into the second half of 2026. But the teams have a bottom-up approach, and we wouldn't talk about 1.0 if we didn't have the visibility to deliver that. And so I'd say there is some risk with it as there continues to be some uncertainty in the trade environment, which causes cost uncertainty with projects. And so I'd say that's what we're watching the closest is the project environment. It's impacting the energy side of our business and the chemical side of our business more than anything else. General industries appears to be pretty robust at this point. We had some really nice general industry bookings in the quarter. And then the power bookings remain incredibly strong. And so we have seen -- back to your last kind of question was we have seen some projects now move into financial decision in Q3. And so we're confident we'll win some nice awards in Q3. And again, given the current environment, we feel as comfortable and confident as we can to deliver 1.0 given everything we know today.
Amy B. Schwetz: Yes. And Andy, the only thing that I would add to that is as we look at July activity, Scott referenced really no large project orders were placed in the second quarter. And this month already, we've seen a large project order sort of the size of the 3 that were in the $11 million to $12 million range in the third quarter combined. So we feel pretty good about that project funnel delivering in the third quarter.
Andrew Alec Kaplowitz: Very helpful. And then, Scott or Amy, just we understand that Mogas is diluting FCD margin, but how should we think about the potential improvement in the segment moving forward? Obviously, you disclosed the 260 basis points in Q2, but how do we think about ongoing pressure from Mogas? And stepping back as Scott, as you know, FCD used to have similar or maybe even better margin than FPD. So what will it take or in what time frame can margin FCD get back closer to the levels of FPD?
Robert Scott Rowe: Yes. For a long time, FCD had the higher margin. So maybe I'll let Amy walk through the margin and kind of how we see it and then the Mogas impact, and then I'll kind of summarize that.
Amy B. Schwetz: Yes. And I think you're right, Andy. To truly understand the performance, you have to look at organic FCD and Mogas somewhat separately right now. The organic FCD had a solid quarter. We still want to see more margin expansion than where we're at, but gross margins did improve 180 basis points and OI improved 140 basis points year-on-year, excluding Mogas. As we look at the Mogas side of the business, really 3 three issues impacted the quarter and give us some confidence that this is a temporary issue. We focused a lot on this module, this fabricated module business. That's one we absolutely planned on discontinuing or not continuing once these orders shipped. And so they're working through the system really in the first 3 quarters of this year. But it's taken a little bit longer and cost a bit more to ship that final module than we'd expected. And so that's really the first item factoring their performance. And then the second is really around project bookings that have been slower in really the last 9 months than we would have anticipated. That has impacted their backlog a bit, but it's also impacted bookings and project revenues in the first half of the year. We do have visibility to elevated project bookings over the next 12 months. And I think we remain really excited about the exposure that Mogas overall gives us to the Mining and Minerals business. And so we remain pretty committed to that. And I'd say, overall, the integration is going well. So really synergy realization, which we've needed to overcome some of these issues is right on track, right where we wanted to be. And so I would say it's been a little messy in our first 6 months of ownership, but we're really excited about the continued options and future of Mogas that it gives us, not just within that business, but for cross-selling.
Robert Scott Rowe: Yes. And then I'll just add, first on Mogas. Mogas is a good business. We've got to get these fabricated modules through the system, and we'll start to clear that toward the end of the year. And then secondly, the project bookings have to come through. And the mining and minerals industry is actually really strong. We've got visibility to those orders as we go forward. And so we feel really good about the Mogas business. It's just we got to clear through some of these things that we identified in due diligence. And then back to FCD in its aggregate, in theory, Mogas should be accretive to the FCD overall financials. And so we'll start to see that play out in 2026 and beyond. And like you said, Andy, we do believe and we are definitely leaning toward making sure that the gross margins in FCD are back to where we saw historically in that kind of the mid-30s to kind of mid- to high 30s, if you will, on the gross margin side. And we have the playbook. The Flowserve Business System, the operational excellence, the 80/20 has delivered incredible results on the FPD side. We're running that exact same playbook in FCD. We started a little bit later. And so they were always going to be a little bit of a lag behind the FPD progress, but the Mogas is definitely impacting them more. I will now be spending more time with our FCD team than I would have done prior to our announcement yesterday. And so I'll be in Europe on Monday morning with the team and going through a couple of their sites and making sure that we are doing the right things. And so we do have a lot of confidence in that team and definitely look forward to a second half of improved margins.
Operator: We'll go next to Deane Dray with RBC Capital Markets.
Deane Michael Dray: I want to go through kind of the implications of this whole Chart experience, if I can call it that. So look, in our view, the deal made sense when it was announced. The deal termination also makes complete sense. So that chapter gets closed. But now we do know more about Flowserve's growth ambitions. So does that growth ambition get put the genie back in the bottle? Or are you in the hunt for another deal? I love hearing that you can focus now 100% back on the business, and you're going to spend time at FCD, that makes sense. But what about this growth ambition? And how does that play out? And how can -- what can you say about it today?
Robert Scott Rowe: Sure. Deane, let me just start with a couple of comments that you said at the beginning because I do think they're important. And I put this in the prepared remarks. And while we are disappointed in the outcome, we believe this business is in a really good place. We were always bought into the strategic logic of the combination, right, the flow and the thermal management. And there is something there that we thought we could do that was truly transformational in the space. I am proud of our team and our Board to remain disciplined in the early negotiations and getting to a deal, but also in our ability to exit and terminate the deal in a successful way. And obviously, that results in a $266 million breakup fee that enhances our balance sheet, and we've received that money to date. And so that's in our bank account, and we are looking to how to deploy that properly. Additionally, we were able to secure a supply agreement with Chart that really was kind of on the back of some of the revenue synergies that we were talking about with the combination. We wanted to make sure the Flowserve product got pulled through. And so we've got a multiyear supply agreement to progress that forward. And so as we think forward, right, we're not going to shy away from M&A, and I'm going to let Amy talk about kind of how we think about that and what it looks like. But what I'd say is the other thing that we demonstrated here is that we can make progress while the corporate team looks at mergers and acquisitions. And we delivered an incredibly strong quarter despite the fact that we were in a small group of our corporate team was involved in pulling off a transaction and starting to build a very robust integration plan. And so that gives me confidence that we can do things a little bit differently here that we can lean in. But I'd also say we're going to do that incredibly thoughtfully, and we're going to be incredibly disciplined. But Amy, do you want to pick up on that?
Amy B. Schwetz: Yes. So I would say, Deane, our -- the filter at which we are going to use M&A to really drive shareholder value is unchanged from before the time that we announced the acquisition. So we look for transactions that fit our strategy around diversification, decarbonization and digitization. And ideally, that comes with an attractive aftermarket component or opportunity for us to build on. We want to see attractive financials that drive accretion at both the margin and the cash flow level, and we want to maintain our healthy balance sheet and investment-grade rating. And so we've proven to be pretty disciplined in this approach, and you can certainly expect that as we go forward. And I think that the -- it's important, we're going to take a moment to breathe after this. But I think that the Chart transaction demonstrates 3 elements of our process. And that although the majority of our opportunities going forward are going to be bolt-ons, we will look at larger transactions if the value creation is compelling. And I think that, that is a sort of a risk-reward proposition that we look to fully understand. We're going to be disciplined in our approach as evidenced by our desire to not pursue this deal at any cost. And finally, I just want to point out that we were able to progress the deal, announce and begin integration planning while delivering what was really an outstanding quarter in Q2. And I think that's evidence that the Flowserve Business System is mature enough to allow parts of the organization to spend time on strategic opportunities while not impeding the progress of our organic business. And so it's one of the reasons why we feel confident in M&A being part of our strategy going forward.
Deane Michael Dray: Look, I really appreciate all that context and color. And I think Scott made my second question to Amy, just the idea of how does M&A play out from here. So that counts my 2 questions. I appreciate all the color.
Robert Scott Rowe: Thank you.
Operator: We'll go next to Damian Karas with UBS.
Damian Mark Karas: Amy, you were talking a little bit about the FPD segment margin and -- excuse me, FCD is what I meant to say and the opportunity to continue to push that over 20%. Curious to hear what are the biggest remaining levers that you see after the progress that you've already made there?
Amy B. Schwetz: Yes. So I think with FPD, I just want to take a little bit of a victory lap that we're really excited about where we finished the quarter from a margin perspective, both gross margins and what we see saw drop to the operating margin line at over 20%. I think the things that continue to give us confidence that, that's a level that we can and will achieve again and that we can build on is really a couple of things. I think, one, the initiatives that the teams are focused on, including aftermarket capture are driving that margin expansion. And then really, the second is around 80/20. We are very much in early days of 80/20. And so we've started to see those results come through in some -- really faster than I think that we anticipated. But there's more to be done here. And so really, what we've asked of the FPD team, we talked to our leaders this morning, and we've said, please lean into growth. This is one of the reasons why we've launched our Commercial Excellence programs, but at 20% operating margins or 18% to 20% operating margins, this is a business that we really want to be focused on continuing to grow on behalf of our Flowserve shareholders.
Robert Scott Rowe: And I'll just add -- I'll add a third lever there, which is technology. And so we've talked about some really differentiated technology within the pump area. And so we've got a pressure exchange device called Flex. We've got a hydrogen pump that's differentiated. We're commercializing an LNG and a cryogenic pump. All of those will be at premium margins given the technology that's embedded in those products. And so as we move toward commercialization and growth here, that's going to help us as well. And so we couldn't be more proud of what the FPD team has done. They've made really good progress. They're incredibly focused, and we're excited about the journey forward here.
Damian Mark Karas: I think I'm mixing up of the Ps and the Cs and the Ds just rubbed off on you, Scott. So I apologize. You guys knew what I was talking about. On the -- I just wanted to ask you, so the nuclear bookings, you called out at $60 million in the quarter. So obviously, a little bit of a step down from that $100 million plus you've been talking about the last several quarters. Is that just more a timing factor than anything else? Or should we be reading anything in addition to that? I mean it just seems like since last quarter, there's been more positive headlines around future nuclear activity.
Robert Scott Rowe: Yes. So the nuclear orders are definitely lumpy. They're large in size anywhere, and you are -- sometimes you'll get smaller ones in the $10 million to $15 million range. But the larger ones are $30 million, $50 million and sometimes even $100 million. And so it really is just project timing. And so these are hard to get over the finish line, not because we're going to win or lose but just making sure all the documentation is correct and making sure that you're working through the customer through a very technical process. And so I wouldn't read anything into the $60 million versus kind of the last 3 quarters at $100 million. We still see that this is an incredibly attractive kind of market, and our funnel continues to grow and it's at the highest level that we've ever seen. And so I'd just -- I'd chalk it up to a little bit of timing, a little bit of a lumpy orders, but we're excited about nuclear as being a part of the mix as we go forward. And then the other one I just want to call out, we put it in the prepared remarks, but we did win our first commercial award for a small modular nuclear reactor. And so we've been participating in that. A lot of it has been through technology development. And so we have a handful of partnerships where we've been doing a lot of work to make sure that our technology is positioned well for SMR. And in the quarter, we were able to secure our first award where we will provide the primary coolant pumps for SMR technology. And so we continue to differentiate and put ourselves in a really good position to work both in traditional nuclear power, but also in the SMR as that starts to take traction.
Operator: We'll take our next question from Nathan Jones with Stifel.
Nathan Hardie Jones: I guess I'll start on the Commercial Excellence. I mean you talked about starting the Commercial Excellence pillar of your 80/20 initiatives in the second quarter. Can you maybe talk a little bit more about what that involves for Flowserve, how you're deploying that? I assume this probably focuses a little more on FPD to start with, with FCD needing probably some more margin work before it pursues growth. But just any more color you can provide us around that.
Robert Scott Rowe: Sure. Yes. Let me start on kind of why Commercial Excellence is so important. And then I'm going to let Amy jump in as she's our executive sponsor for Commercial Excellence. But really, as we think about the Flowserve Business System and kind of the progress there, we really had to get operational excellence going in and making sure that we're delivering for our customers in the right way. And so we feel really good about that progress and the sustainability of that program. And then as you know, last year, we doubled down on portfolio excellence, which is where we embed the 80/20 program. We're now fully into that kind of second year of 80/20. We've got all product lines in there. And by definition, when you look at 80/20, you start to call out some of your products. And that puts some downward pressure on revenue. And so while we are focused with our customers on our top products that make sense for Flowserve and for our customers, there are things that are coming out of the system. And so the natural progression is then the commercial excellence to make sure that our whole organization is leaning in toward growth and making sure that we can kind of pick up some of the loss from the 80/20 program as we cut products out. And so this is the right thing to do. We're at the right time, and I'll let Amy kind of talk through some of the tenets of Commercial Excellence.
Amy B. Schwetz: Yes. And Scott touched on this, but really, the goal is to use enhanced commercial performance to offset revenue reduction from 80/20 decisions. And so we don't lose sight as an organization of the goal to grow. And so the pillar is intended to really cover all elements of the commercial life cycle. And so that's opportunity generation all the way through kind of post-shipment support and recovery and it is supposed to be covered channel management, pricing, incentives, use of analytics to drive better performance within the organization. And I think what's really cool is as we've seen the progress that we've made around portfolio and operations, the organization is really excited about strengthening our capabilities in these areas. So we've launched pilots this summer around the program and would expect to start to see results being demonstrated in our 2026 bookings levels. It's something that Scott and I are going to be very focused on going into our annual operating planning. And I think what's great about this is I'm sponsoring the program, but really, the program is being led by our commercial leaders with a lot of input from the people on the ground who are helping our customers on a daily basis. And so we're excited to see what comes next year.
Nathan Hardie Jones: And does this start in FPD and will move to FCD maybe as it progresses through its simplification initiatives?
Amy B. Schwetz: So we started this across the commercial organization. And so we've gotten the input from both FPD and FCD commercial organizations and businesses as we move forward. But you are correct, Nathan, that we're much more focused on growth in FPD than we are in FCD at this point in time. And so that means the pilots that are being launched in both programs are specifically addressed to sort of improve elements of the business that we think that we can drive marginality through focusing on.
Nathan Hardie Jones: I just have one clarification on the dilution you're seeing in Mogas. These modular things, are they -- the last one of those or last ones of those get delivered in the third quarter of this year? Is that what I heard you say? And then maybe if you can just provide some color on kind of what in-built margin expansion there would be just from the absence of having to deliver those things.
Robert Scott Rowe: Yes, I'll hit timing. I'll let Amy hit the margin. So these are -- this is -- we've got one large fabrication. This is a really, really big fabrication. It is at, call it, 90-plus percent complete. Sadly, to get this completely out of our business, it's going to take us in the early part of 2026. There won't be a ton of revenue at the end of this year, but there will be a little bit of a remaining tail. And so the team is working hard to get this cleaned up and officially delivered to our customer. And as you know, this is obviously a percentage of completion accounting. And so there's not a whole lot there, but we will be impacted in the second half of the year and then just a touch in the first quarter.
Amy B. Schwetz: Yes. And just to put it in perspective, I mean, Nathan, one, we had some discrete charges as we complete -- as we're moving towards completion on that last module in the second quarter. But just at a standard level, you're looking at between 1,000 and 1,500 basis points differential in margins -- in standard margins between kind of the rest of the Mogas portfolio and modules.
Operator: We'll go next to Mike Halloran with Baird.
Michael Patrick Halloran: So I just want to clarify the -- what happened on the order side and just make sure I understand what has or has not changed. Is it a fair representation to say that there was an air pocket in 2Q and that your expectations for the back half of the year are largely unchanged relative to before? Or maybe better put, what has changed in the back half of the year expectations from an order perspective relative to 3 or 6 months ago?
Robert Scott Rowe: Sure. Yes, I'll start with what hasn't changed at all, which is the aftermarket MRO and kind of that run rate business. And so that's coming through at healthy levels, utilization is there, customers are buying parts. They're servicing our equipment. I don't -- we didn't see a change in Q2. There was a lumpy order in Q1. So sequentially, you got to normalize for that. But overall, again, at $600 million of aftermarket, it's a really, really strong number. And we just don't see that slowing down into the second half of the year. What we did see in Q2 was the project bookings. And just given the macro environment, given tariffs, given the uncertainty on how to cost things, we just saw larger projects, primarily in energy and chemicals press pause, and they wanted to get some certainty on the macro picture. They wanted to get some certainty on what the cost was. And so those got -- we saw projects getting delayed. And I'd say a lot of those are a 1-quarter delay or 2 quarters of delay. Some might be a little bit longer. The current outlook for the second half of the year and everything that we see today remains pretty solid. And I'd say over the last 2 or 3 weeks, the macro picture has gotten a little more constructive. And so we feel probably a little bit better right now about projects moving forward in the second half of the year than what we would have said maybe a month ago. With that said, even this morning, there is a change in the tariff perspective, which does put some uncertainty back into the system. And so while I believe the environment is getting more constructive, you're 1 or 2 messages away from that going back into a little bit of uncertainty. So it's just -- it's a really hard environment to predict right now, especially on how our customers are viewing projects. But we're in close communication with them. Our opportunity funnel is large. And again, we feel -- given everything we know and all of our discussions and where our funnel is, we feel like that book-to-bill ratio for the full year should end up right at 1.0.
Michael Patrick Halloran: And then just a follow-up on the pricing side of things, just kind of a twofold question. One, how is pricing in the marketplace tracking from a competitive perspective? Any issues as you manage through all these, call it, geopolitical tariff headwinds? And then secondarily, just a comment on what the margins in the backlog look like and if that's still tracking the right way. I appreciate it.
Robert Scott Rowe: Yes. I'll hit the first part. Amy can hit margins and the backlog. So I'd say we've been aggressive on price this year. We talked about in the prepared remarks that the prices come through without major demand implications. And so again, list price is going to be more impacted on our run rate business. So think parts, the products that go through distribution, the MRO business, all of that, we've got an incredible level of confidence that the pricing actions have been as sticky as we would have expected and in some cases, exceeding our expectations. In the project business, any time that you get some uncertainty on project timing or that we may be going in a downward direction, our competitors get -- they sharpen their pencils. And so we're sharpening our pencils as well as we look at project bidding and making sure that we've got the right cost position to put forward to our customers. And so I'd say that environment has gotten slightly more competitive. I don't -- I wouldn't say that it's in a nonconstructive fashion, but it is making our teams work a little bit harder to make sure we're sourcing from the right people, that we're stripping out engineering costs, that we're using standard products, like all the things that we know. That engineered pumps team is really the group that does the most of this. They have done a tremendous job in the last year with our selective bidding and making sure that we, one, earn the work and the margins that we deserve, but two, making sure that our out margins or our execution margins are higher than what we tender. And so we're having discussions with that team about how do we make sure that we're putting our best foot forward in the tender and not losing some of that work. But I'd say that the pricing environment remains constructive. It's not in a bad place at all, but there are some areas where folks are getting a little more competitive.
Amy B. Schwetz: Yes. And the only thing that I would add to that is I think in terms of backlog, we're in a really good place from a margin perspective and a couple of things that I'd point out there, just one, with the 80/20 program, more and more embedded in the business. We're selling the right products. We're selling the products that we know that we can make money on in the market. And the second piece was something that Scott touched upon, which is our out margins on large projects have been very positive. And so it's something that is allowing us to sharpen our pencil, but also giving us a great deal of comfort that when we continue to execute at the levels that we're executing today that we're going to continue to see the positive margin trends.
Operator: We'll go next to Saree Boroditsky with Jefferies.
Jae Hyun Ko: This is James on for Saree. So I wanted to touch on 80/20. Can you kind of provide an update on where you kind of stand in 80/20 journey? And how much of like 200 basis points of margin expansion this year is kind of attributable to it? And is there a timing difference on implementation between FPD and FCD?
Robert Scott Rowe: Sure. Yes. We're well into the program now. We launched this at the beginning of last year. FPD was the leader in terms of the business units going through the program. But now all 5 of our product business units or the new equipment is fully on 80/20. And so we're excited about the progress. The business unit leaders have been incredibly disciplined in setting up their segmentation, the quads following the methodology. Two of our business units are now in year 2. And so they've done a second segmentation on their quads and making really good progress. We haven't called out specifically how much of the margin improvement is attributable to 80/20. But what I would say is it has been a nice factor to what we've done, but there's still a lot more room and more opportunities in the combined portfolio to continue to move margins up. And if you look at companies that have been doing this for a long, long time, they've typically gotten 100 basis points a year on the back of their programs. And so that's our goal and objective is to be somewhere in that kind of -- that line where we're seeing about 100 basis points a year as we progress through the program. And at this point, we're very confident that we're delivering to that expectation.
Amy B. Schwetz: Yes. And James, just a little color in terms of how I think about it at the 200 basis points of operating margin expansion that we're targeting for this year, that would be between 50 and 100 basis points of improvement from 80/20. So we're getting close to that run rate that we want to be at as a company.
Jae Hyun Ko: Great. And I guess as a follow-up, you noted a sequential increase in project funnel. So how does this compare on a year-over-year basis? And where are you seeing like strengths and weaknesses in the end markets?
Robert Scott Rowe: Yes. I don't have the exact year-on-year funnel. I would say that the funnel is in -- the overall funnel is in a very healthy place. And so again, we feel good that the funnel itself is in a position that allows us to drive the bookings that we need and what we've talked about to have that slightly over 1.0 in the second half of the year. We are obviously looking to continue to enhance the funnel opportunities. The power side is definitely up. And so we've got to continue to lean in and making sure that we can track the projects in the right way that allows us to see growth in the go-forward basis.
Operator: We'll go next to Joe Giordano with TD Cowen.
Joseph Craig Giordano: Scott, just curious how you manage -- so the Chart, the no Chart, like as a leader of the organization, how do you deal with this internally like from a -- how do you message this to your employees, right? Like so you sell them on, this is transformative for us. This is the future of the company. This is where we're going. It's going to be disruptive. There's probably going to be some people who are in that synergy bucket, right? And then now we come out and like, no, this is the future of the company. It wasn't that. It's this and we're good this way. Like I get it. I think the people in the financial community get it, but like it's a different discussion point when you're talking internally to keep people motivated. And how do you manage something like that?
Robert Scott Rowe: Yes. No, look, I appreciate the question. We've had a lot of videos that I pushed out globally that on a relatively short notice in terms of preparation. But I'd just say we've had an open communication with our teams from day 1. And I'd say we never over-rotated. And while we are incredibly excited about Chart, the message that we gave to our teams was put your heads down and do your jobs and Chart didn't have a mechanical seal business. They didn't have a pump business. They didn't have a valve business. And so for the folks that were leading our operations or our products, they really weren't impacted. And that's one of the reasons why we could continue to progress our business and have a really, really strong second quarter. The folks that were maybe a little bit more nervous about the transaction were in some of the functions in the corporate office. And we've had some really transparent and open discussions with them about what the possibilities could be and how that -- we would lean on our people value and treat people with respect and dignity regardless of the outcome. And so I'm a believer in having frank discussions but keeping it open and making sure that we're actively communicating. And so we pushed out a video yesterday morning. We did our leadership team this morning, and we'll do a global town hall right after our earnings call. And so we'll touch a lot of folks, and I'll get back out on the road and start to visit more of our sites and make sure our teams are leaning in and continuing to do the good work. But I think we've done a real nice job here with our culture. And I'd say it's definitely one of the strengths of what we put together at Flowserve. And so I'm proud of our folks that the people continue to work hard for our customers and ultimately for Flowserve.
Amy B. Schwetz: And I'd just comment that when your M&A is an extension of your strategy, you may be explaining the size of a transaction or there may be a surprise that you're doing something of the scale that the merger was. But I think there is comfort throughout the organization that we've said what our strategy would be around the 3Ds and the transactions that we have announced to date have been in keeping with that. And so it's a fork in the road for sure, but I wouldn't necessarily call it a full-on change in direction.
Joseph Craig Giordano: That's fair. And just my second one, I don't want to belabor Mogas, it's a small company within a large company, but I think the expectation initially was something around $200 million in revenue. I think it's way lower than that. So maybe some color on what's driving that. And then just within the context of the FCD, and I know it's earlier stage in the margin journey than FPD. But is there something inherently more challenging in taking costs out of FCD relative to FPD, like something in the cost structure inherent there? Or is it just purely timing and just working at it?
Robert Scott Rowe: Yes, I'll hit Mogas revenue. Amy can hit the margins there. So look, we have talked about Mogas being a $200 million business. We are confident that, that's where this business needs to be and that we can grow from there. Amy mentioned a couple of times that the project side of Mogas has been light really since kind of the second half of last year and into the first half of this year. And so that's putting downward pressure on the overall revenue number. And we -- I'd say 2 things. One, the aftermarket side of Mogas has been incredibly healthy. And so that continues to progress forward. Some of the project timing comments that I had in overall Flowserve certainly applied to some of the mining and minerals projects that Mogas does so well in. But we have clear visibility now. We're starting to see more activity in mining and mineral extraction. And so that funnel has improved pretty substantially in the second half of the year and into 2026. And so the goal is still a $200 million revenue number. We'll exit -- or the last fabricated module will be out of the system. The aftermarket margins are fantastic, and the OE and project margins are coming in at the right levels to make this accretive to the overall FCD portfolio.
Amy B. Schwetz: And I would say, Joe, we are still very committed to growing FCD's margins back to more historic levels and really then trying to reset the bar around that. There is nothing structurally that tells us that we cannot get back to those levels. I will say that FCD overall was probably 5, 7, 10 years ago was more exposed to upstream business than other parts of Flowserve. And so as that business has moved away, we have taken out high-cost country sites from the portfolio. And so that is some of the pain that we've seen in previous years. We think those actions are behind us. That sets up a little bit of a tailwind. But other than that movement, there's nothing structurally that's happened within the business, and we believe that we've addressed that in -- over the last couple of years.
Operator: This does conclude today's question-and-answer session. At this time, I'd like to turn the call back to Brian for any additional or closing remarks.
Brian Ezzell: Great. Thank you, everyone, for joining the call today. We look forward to seeing many of you at conferences in the rest of the quarter and then providing another update following Q3. If you do have any questions or follow-ups, please reach out to the Investor Relations team. We'll be happy to talk you through anything. In the meantime, we hope you have a great day.
Operator: This does conclude today's conference. We thank you for your participation.